Operator: Greetings. My name is Kip Meintzer, Global Head of Investor Relations for Check Point Software. I’d like to welcome everyone to our Second Quarter 2021 Financial Results Video Conference. At this time, all participants are in a listen-only mode during the formal presentation, which will be followed by a question-and-answer session. Joining me remotely today on the call are Gil Shwed, Founder and CEO; along with our CFO and COO, Tal Payne.
Tal Payne: Right, thank you, Kip. Good morning and good afternoon to everyone joining us on the call today. I'm pleased to begin the review of the second quarter. Revenues for the quarter increased by 4% to $526 million a 4 million above the midpoint of our guidance. Our non-GAAP EPS increased by 2% to $1.61 per share, surpassing the top end of the guidance.
Gil Shwed: Hi, everyone, very happy to see you on our earnings call. Actually, we're celebrating today, I think it's our -- my 101 earning call, 25 years as a public company, we went in Q2 1996 was our first quarter as a public company. So I'm very pleased to see you. I will go quickly, I'll try to go through this presentation. I'll skip the first few slides, which is all the forward-looking statements, but I'll speak about the business highlights. This quarter, I chose to focus on case studies that will demonstrate our three pillars of security. So before I jump into that, a quick introduction. And you've seen the data, you've seen the numbers, the increase in revenues, the full data again, so I won't stop on that. But let's go to state of the business. First, I think we've completed a pretty good actually a very good first half, especially in Europe and Asia, If you remember a couple of years ago, we've put some new leadership in Asia, two quarters ago, we have a new leader for Europe. And I must say that the two quarters in we had excellent second quarter in Europe, very good that first half a nice momentum, new customers and all the pillars. So I'm very, very pleased to see that in Europe. And I'm very pleased to see the first half in Asia, that continues with a positive trend even with the few challenges that were been in Asia due to the Corona in the second quarter, especially in India. And by the way, I hope within the U.S. when we have now a new leader which was in the quarter for like five or six weeks during the quarter, I hope that within few quarters we'll be able to see similar trends in the Americas as well. In terms of technologies and products, the CloudGuard and Harmony product line doubled in the past two years twice since 2019 and now account for a 20% of our subscription revenues, almost doubling the amount that they were before. So which is again pretty good, the same strategic trends that we're speaking about with the Infinity architecture. And last but not least is our Infinity program. The Infinity program includes customers what I would call strategic customers; customers which we commit to for a multi-year, they commit to us for multi-year usually, most of the time they buy multiple pillars of our technology, not just one set of technologies and this business tripled in revenues, and also in deals that we win, which we'll show in the future since second quarter of last year. So which is a very, very good trend.
Kip Meintzer: It was the energy company deal.
Gil Shwed: Okay. So I was –
Kip Meintzer: So probably the next one right after the energy company, where you want to start?
Gil Shwed: Now let's see how quickly can I shift slides here? Great. So I was speaking about this customer. Here, I was speaking about Maestro, I don't know if you heard it or not, I was speaking about Maestro. Maestro is our scalable solution, it became a real-game changer in the last year, year and a half in our solution. Basically, Maestro allows the customer to get a cloud like environment in terms of scalability, redundancy, reliability, for your data centers, simply by stacking up many solutions and get one high -- very high performance network security solution with high level of redundancy. So in this case, we're talking about a government agency in one of the largest European countries that they needed to protect their very public services and like everybody else, they see more services provided through the internet in the last year and a half. And we're looking for a solution which will not just meet the current requirement but will be a future proof. And Quantum Maestro was the winner here. The reason they quoted is the ability to scale up our security environments on demand, the flexibility of that solution, the fast-changing environment, and also very important is the EAL4+ certification, that's one of the highest certification a product in our industry can get, not many vendor have that certification. So they like to always factor and replace this with our solution, which is a brand new customer to Check Point, seven digit deal. So which is a very, very nice win with our European team. And actually, by the way, complete like a winning streak, in the same region, that every quarter and that we win the similar deal like that major customer, new customer with a large deal which is something we're very proud of. Last, let's move to CloudGuard. I think we all know the importance of fair, the cloud these days, the ability of companies to move workloads to the cloud to support private cloud, public cloud, and cloud there they think provides the most comprehensive solution. For cloud customers, I think we have your two examples that demonstrate different aspects of our solutions in the cloud. First one is a technology company in North America, a technology company. Like many others, they acquired several cloud startups and they realized that now they need to get more visibility, more control into their multi cloud environment, different companies, different cloud providers, and so on. And they purchased CloudGuard poster management and threat intelligence to get wet on this entire cloud. The reason they quoted is the best visibility across the multiple cloud environment. And the superior flexibility or the ability to do automation scripting, whenever a new asset is added to the cloud, it automatically joins the control panel, whenever automatic actions are needed to be taken, our scripting ability, allow them to do it automatically. And again, seven digit deal, new customer to us, a new customer to the cloud, and competitive win over Palo Alto Networks, which is a good example, in the heart of Silicon Valley. And switching to the last example, which is a very large -- many years Check Point customer on the network side. It's a Fortune 500, the media company and was  is a complicated project. On one hand, they had the new data center, a new private cloud or physical data center. And on the other hand, we are moving more and more applications to the public cloud and they needed to connect the private cloud and the public cloud. And what we purchased here is both CloudGuard and the Quantum Maestro connected together. And the reason they quoted for choosing Check Point was first unmatched scalability with Maestro, which I think is great. And we talked about it earlier. They increased the efficiency with the unified management. This sounds simple, because I've spoke about our management. But here, it's another angle of that. We're the only vendor that have the same architecture, the same management for most of the private cloud and the public cloud solution, it's the same management, the same solution which can secure the data on both ends. And this could connect the data from the data center to the public cloud. So that was a very important factor for them, the ability to control it from within the same panel. And last but not least, and I'm saying it here, because they conducted very sophisticated tests, real life testing of us versus several other vendors. And Check Point got the best results on the security side, on the performance side and you see, we won here over Palo Alto Networks and Cisco. So I mean, we're very proud of the seven-digit deal that expands our footprint in this large media company. So I think overall, I gave you some color about why the Check Point pillars win. And I think you can see some of these reasons. And by the way, this sounds like our marketing material. But this is echoing what customers are saying, guys, they like us, first and foremost, for the real time prevention. By the way, this is a result, not just of these few cases, but of many, many other cases that we collect an interview, we asked customers, why did you choose us? And these are the reasons, first, our prevention first architecture, the real-time prevention, sounds trivial, but it's not most of our competitors rely on detection and remediation, which led to the attacks in not very good. And they liked our security management, something that -- I think we're winning for a 27 years now. And they like the complete solution, the Infinity and you saw here many, many examples that were part of the Infinity solution and part were multiple solutions from our three pillars that start to show the consolidation and the importance of  consolidation in the marketplace. So all together, we really get that we think that we can prevent the next cyber pandemic, we can really protect against the Gen5 attacks, which are now becoming the new norm for internet and cyber attacks. So this point about the customer one slide maybe about what we're seeing in the overall marketplace with our research organization. For those of you who follow and I recommend that you can follow our Check Point research CPR blog, you will see dozens of different researchers, dozens of different vulnerabilities that we found. But here, I'm not going to go through them because that they deserve a full presentation of its own. Just some of the trends we are seeing at the high level. So we've seen 93% increase in Gen5 attack, namely, here, the example here is ransomware attacks, Over 1200 organization impacted by ransomware weekly based on our sensors which is a 93% increase from June 2020. So this is huge and you can see that in the graph. The leading regions with the largest increases are in Latin America and Europe. But for those of you in North America, after seeing the colonial pipeline, and so on, I think you can definitely see that this is not just the issue of someplace else. This is an issue that attacks our critical infrastructure everywhere. And these attacks remember, we coined the term Gen5, two or three years ago, attacks, which are multi vector, attacks that use zero day multi vector means that they may start from one place go through the different environments until they hit you. So it's very hard to detect them and very good to understand where it comes from. In the last few months, we saw the supply chain as a vector for entrance that we haven't seen before. And I think this is becoming the new norm in internet attacks now. The good news, the attacks that we saw so far, customers that deployed the Check Point Infinity remain protected, even though it was zero day attacks, even though many of these attacks weren't known before. So we are very proud of what we delivered to our customers, over many years, and especially in the last couple of years with the Infinity architecture. So this is just what we should expect. To summarize, and to leave some time for your question. We had the strong Q2 financial results, both in terms of meeting our projection and so on, but also in more and more internal metrics that we've seen internally, especially in Europe and Asia. The Infinity architecture both as a solution in selling to strategic customers, but also in the different pillars, which we sell the third part of the overall architecture are gaining momentum with double-digit growth in CloudGuard and Harmony and triple digit growth for the Infinity deals. So overall, I think that we had good progress, there's plenty we still need to do, there's plenty we need to ramp up and get where we need to get. But I think we are fulfilling on the strategy of providing the industry most secure, most comprehensive architecture. So let's kind of summarize my presentation. And actually, before I open it to your question, one more thing, projection for the third quarter. So here, our projection, revenues are expected to be between $515 million to $540 million. You know, my regular caveat, projecting the future is always very challenging, definitely these days that the world is turning upside down quite quickly and with the high level of uncertainty for many reasons, which can cause all results to be better or worse than our projection. Still, the range here in revenues is 515 to 540. And the range of our EPS estimate is going to be between 1.54 to 1.64. And GAAP EPS is expected to be approximately $0.24 less than that. So once again, thank you very much for listening. I hope I gave you some good insight into what we're seeing into our business. And we're happy to hear your question now. Thank you.
A - Kip Meintzer: All right, guys. Please keep it to one question at a time. And our first step is going to be Jonathan Ho from William Blair and following him will be Rob Owens from Piper Sandler.
Jonathan Ho: Congratulations on the 25th anniversary for the company. I just wanted to maybe get started with a little bit more color in terms of your recent sales, leadership changes and new channel incentives. And maybe, could you help us understand sort of what's making the most difference in terms of driving either improved productivity or channel engagement? Thank you.
Gil Shwed: So I think firstly, in terms of changes in Asia, we have new leadership for quite few years. So I don't know if it's new anymore. In Europe we've got in Thorsten was the new leader for Europe in during Q4. So it's now his second full quarter. And I think we're very pleased with the results so far. And a good momentum in the U.S., we've got the new leader, Jeff. Jeff joined us halfway through the quarter. So I think during second quarter has only been with us, like for six weeks. So I think still needs to deliver the first quarter of leading the field. And I think I hope within a few quarters, we'll be able to see the changes we implemented, the new hires that he brings, and new spirits that he brings to America. On top of that, I think that we have a large sales force that is doing a lot of different things. In the last few months, we spent a lot of energy trying to accommodate more of the channels support the channel, even though I must say that I think most of our work is out. I mean, I am not putting the responsibility on the channel or an incentive program and think it's our people, which would work with the channel people at the end, that's what would lead the charge moving forward. We've done it better in some areas, we can do better in other areas. And I think overall, as I mentioned, we had pretty good, very good first half in Europe and Asia stable first half in the Americas. And I hope that the Americas will follow the suit with Europe in the next few quarters.
Tal Payne: Jonathan maybe I would just add that, some we can talk about and some we can’t but we did quite a lot of changes in the partner program. Date MDF, which was introduced at the fall of last year, an increase in the amount this year. So it's a lot of dollars have been poured into the working together and marketing efforts with the partners. And we have different rebate programs in different areas. So we did quite a lot of changes in the marketing efforts with the partners and direct marketing as well.
Kip Meintzer: All right. Next step is Rob Owen followed by Shaul Eyal.
Rob Owen: Tal, I want to focus a little bit around the P&L and you've seen strong billing, short-term billings as well for the last year and revenue has been at this 4% mark. And I understand there still is this transition, which we've had for years of hardware to software and how that all plays out. So is there a point in time where we should begin to see them the revenue growth accelerate from the 4% and converge more towards the billing -- short-term billings type of numbers that you've been putting up in the high single digits. Thanks.
Tal Payne: So remember, so there hasn't yet, there should be an acceleration at a certain point. Remember that if you look at the P&L, the product revenues is about 30%. And the rest is the subscription and the support. So what you see in the deferred is mainly the subscription, the support, and the product portion there is quite small. So overtime short term, of course, should be reflected as the growth of the support and the subscription together. Subscription is at 12%, support is at 2%. So it's still not in the right  the dealing or in the deferred revenues growth, but I should get their overtime. Product is separate. This is what you see in the P&L is in line in high level with what you actually sell because it's not going to deferred revenues typically. Except for the splits portion of the bundles, of course, another point to mention is when we have an Infinity deal, the total protection Infinity, while you have product, subscription and support the product portion which is much better in the billing or in the deal, we need to wait until the customer pulls the product until he pulls the product we cannot recognize revenues. And that that portion is still sitting in the deferred revenue. With more Infinity deals, you might have some delays also in the product portion but while it will be pooled you will see in the P&L.
Rob Owen: So is there a point in time then Tal that we can expect that?
Tal Payne: The future, yes.
Kip Meintzer: All right. Our next question is going to come from Shaul Eyal followed by Patrick Colville.
Shaul Eyal: Tal, you mentioned double-digit growth in the lower end of the appliances product portfolio, I believe. Is that a new trend? Or have you seen that picking up a little bit in prior periods? Why is that happening now?
Tal Payne: Fair to say, I see any improvement in the last two, three quarters there in number of units. And that's why I told -- I wouldn't answer to the previous question. I said we're losing some of the dollars to the subscription deferred revenues. But the number of units as a whole, it was a double-digit growth normally in the lower end. The top 10 appliances grew in double-digit. Double-digit higher than 10 higher than 15 really healthy growth. So that was nice. And low-end grew even higher. And yes, it's a trend when we launch a new product line is really catching nicely. It's not huge dollars. That's why I don't discuss at the last but it is growing very nicely because we succeed to penetrate to a few places that are MSPs. And they're selling more of this type of product. My actual it’s a big item because once you have my answer, you can link to it the different appliances. And you can start with small ones and then grow as you need more overtime. So the trend in total appliance is quite nice to see. The install base is growing, the footprint is growing, the dollar is being allocated between so many lines, that’s way you see the negative 3% but units grew over double-digit.
Kip Meintzer: All right. Our next question is coming from Patrick Colville followed by Adam Tindle.
Patrick Colville: Congrats on an impressive results. I mean, do I see it, I think it's a fastest  for years. So very impressive. Can I ask where there any large deals this quarter that might have benefited results? Or was the kind of deal sizes typical for any given quarter?
Gil Shwed: I think we had an increase in large deals in which was very good in terms of, especially on the size of the deal. I'm not sure, Tal can comment if we actually benefited them financially this quarter because many of these be like  or Infinity deals will even the products portion may be deferred over a period of time. So Tal, it’s for you.
Tal Payne: So I'll say firstly was a really nice quarter when it comes to large deals, but we've seen it for a few quarters. So that's a nice trend in general, which is in line with selling more to customers and having more deals that have two pillars, three pillars and they're moved here. So that's nice phenomena which we expect when we succeed in a specific order with large Infinity. So that's one. In terms of the revenues, most of it didn't get to the revenues yet because remember let's take a typical Infinity deal, majority of the -- first you have a nice increase in the annual run rate with the customer. So let's take a deal that have 30% growth in the run rate, the subscription will typically start to be recognized only the quarter after, suppose we start to be recognized only the quarter after, because remember, we're very back-end loaded. So typically the deal comes in the last week -- last two weeks and so on product. Product, now it depends, when does the customer actually pull the appliance, so we will see it in the products revenues only once it will last for delivery. And it has like your bucket each year. So if you sign three years deal, yes, let's say, a bucket of 2 million for the first year, 2 million for the second year, 2 million for the third year. And you can take it immediately over the quarters or near the end of the year, just as an example. So there's less correlation between the timing of the booking and the billing, versus the timing that he actually sees in the P&L.
Kip Meintzer: All right. Our next question is going to come from Adam Tindle followed by Joel Fishbein.
Adam Tindle: I wanted to ask on investment Gil, you entered this year with expectations of investments in R&D, sales and marketing. In Q1 OpEx was flat year-over-year, and from Q1 to Q2, revenue grew faster than OpEx. I think it was just embracing or bracing for more investments year-to-date, wondering how this has played out versus your expectations entering this year? And maybe Tal can touch on how we can think about investments on a go forward basis? Is this going to extend over a few quarters where margin is going to continue to trend down below 50? Thank you.
Gil Shwed: Yes, we do want to invest heavily, especially in sales and marketing and in R&D. We've hired many, many people since the beginning of the year. So I mean, the hiring is actually going very well. We received a lot of  , our profile, say, as an employer is actually also working very, very well. And we see the huge increases on the same tire industries also seeing increased the attrition. And my favorite, when I analyze the data, I'm happy to I mean, I don't I'm not happy with high level of attrition, I'm happy to see that the amongst were high performer amongst or leaders, it's still relatively low. But to match the two together, it's hard. So I think overall, we like 100 people up in the past few months once we started investing more in the hiring, but we're still much more of it we need to do for me, I would like to hire, I would say probably another admit not growth, 300 more positions there between now and year end, maybe even more, I'm just trying to be realistic in what we think we can achieve. Tal anything that I missed on the numbers here?
Tal Payne: Yes, I would just say, Adam, you're absolutely right. We have a plan. And we are ramping up, that’s why I mentioned it because I didn't want you to have an expectation that there is going to be in the full year, we did recruit, but we didn’t recruit all the plan because we are increasing the plans as well. And the market is, yes, people coming in, people coming out, we see all across the board, right? So we're ramping up significantly, therefore, to the recording probably hopefully, you will see a reduction in the -- hopefully a reduction in the margin, in Q3 and in Q4 as we continue to recruit the people that we want in order to execute on the growth of the revenues over the longer period.
Kip Meintzer: All right, our next question is coming from Joel P. Fishbein.
Joel Fishbein: I just have a follow up. Gil, you talked a little bit about, concerns about the macro environment. But obviously your win rates are very strong. Here. I'm curious about the funnel in the pipeline going into the back half of the year, if you can give us some color around that, irrespective of your macro concerns.
Gil Shwed: So first, I think by the way, the need for cyber is going to remain with us for a long time. So I'm in the long-term projection with AI for cyberspace is a positive -- is very positive. And I think the fact that companies I mean, right now the competition is very tougher, there is a lot of good companies around us. But on the same time, I think the value proposition that we provide in terms of the level of security, in terms of consolidation, I think will win over the long run. In terms of the pipeline that we're getting with, I think the first quarter started with very positive pipeline, especially in the places that they say we're seeing the nice changes in the management. So in Europe, in Asia, it's very positive in the U.S. it's also improving, but for the U.S., I think it will take us a few more quarters until we will see the effect of all the changes that we are implementing.
Kip Meintzer: All right, our next call. Our next question is going to come from Gray Powell, followed by Gregg Moskowitz.
Grey Powell: So yes, it was good to see the additional disclosures on CloudGuard and Harmony, 20% of revenue doubled since 2019. How should we think about growth in those products going forward? And how big do they become over the next call it two or three years?
Gil Shwed: Before Tal gives you a little bit more of the numbers if she can, I don't know if we can, or if we have specific projections for them. I must tell you that there's a huge discussion in the marketplace about the potential for clouds and so on. And yet at the end, it's a pretty small market today. We're seeing the big vendors selling I mean, I think I saw this week, one of the analysts categorizing the big companies in cloud security companies with over $50 million in revenues, which is, even if it goes to 100, or 200, it's still tiny compared to the average security sub segment. So I think we all bet on the cloud, we all think that the cloud is going to be very important for the future. But we will see how quickly it will evolve and how big it will become. From my experience, three decades now. Some of these markets become real and become important and that’s why we bet on them. Some of them become important, but not that big. So I mean, we're right now betting on the cloud, but it's still not a giant market. For us, I do expect that we will see consistent double-digit -- high double-digit, not the low double-digit growth in Cloud and in Harmony. And they will become a significant portion of our revenues and take share from the network security and Quantum. I also hope that the Quantum family will grow. But the Quantum I think the projection if we get everything, right, but it will grow in single digit or low double digit percentages, if everything works perfectly well in the world. Tal, any feedback or --
Tal Payne: I think it's correct, at the end of the day, if you look at the way we build it, we build a few growth engines in order to -- if one of them succeeds, we will be in a negotiating. Harmony, it's a great potential and Cloud is a great potential and Infinity is the combination, right? So it can be Quantum and Cloud; Quantum and Harmony. Cloud and harmony. So it can be a combination, but the whole philosophy is, let's upsell through giving value to the customer of consolidated security, the best security and in an affordable price at the end of the day the approach and most of those dollars will come into the subscription line. So hopefully we will see what you saw before where we had 9% growth in subscription. And then it moved to 10, 11, 12. And hopefully it will continue. So that's where you will see if one of the two or both of them will continue with the double digit portion and therefore subscription growth will continue to grow. This one switch will be pulled up because remember, support is linked to the product. So and the product is the appliance. So I will say supporting product, there is potential there, when you get bigger footprint in the customer Quantum. But Cloud and Harmony majority of it is not all of it is already in the subscription. And there were you should see if we were succeeding the plan.
Kip Meintzer: Got it. All right. Our next question is coming from Greg Moskowitz, followed by Saket Kalia.
Greg Moskowitz: So you outlined Gil some case studies, that involves some new customers and/or customers that have expanded in the cloud with Check Points. So now that we're halfway through 2021, you I'd love to just hear how things are tracking with respect to your goals for sales to grow, their new business by 20% this year.
Gil Shwed: I think in Europe and Asia, we are on track not very fully, the full 20%. But I think we had a very good first half. And in Europe, we had an excellent second quarter, and we're tracking right. In U.S, we're seeing stability, we've seen some good changes there. But again, it's still too early to say what we will see at year end.
Kip Meintzer: All right. Our next question is coming from Saket Kalia followed by Brian Essex.
Saket Kalia: Maybe just a broad question on guidance for you, Gil. I don't think we saw an update to the annual guide. And I was wondering if now that the first half is done, and we have a Q3 guide. Was there any commentary that you wanted to make here on Q4 or just how you thought about the prior annual guide? Just as we think about sort of fine tuning our models for the year.
Gil Shwed: No, I don't think that we have many changes for now. We're staying with our annual guidance. I think everything is tracking, okay. I wish I would have saying that things are tracking much better than what I think and it may happen. You never know. Again, in all my experience, we sometimes had the suddenly a huge wave of deals coming in for the last quarter and it ended up very well. In some years, we ended up very tough. It might save it for all the years we finished and well, we finished them on plan. But I think, it's not too early. I mean, I will know that answer probably somewhere in the end of December.
Tal Payne: The reason why I understand why you're asking it, because you see we are higher than the midpoint of our guide, which I completely understand. But remember the biggest question to your question of the annual is the product grouping of q4. And it's such a low visibility that there's no point to play with the guidance before you finish the year.
Kip Meintzer: All right. Our next question is coming from Brian Essex, followed by Ben Bollin.
Ben Bollin: Gil, congrats on the results. Looks like solid building growth school for sure. I guess, I wanted to ask, I'm totally get one question. So I guess I'd like to ask about the channel and what you're seeing in the channel, we're hearing about greater competition among channel providers, Wescon, in particular, more competitive on the margin? How does that what are you seeing in your business, I noticed your margins are relatively stable with regard to impact on pricing relationship with channel in these new deals that you've done that you've kind of highlighted examples, how many of those were, Check Point driven new relationships versus channel driven? Thanks.
Gil Shwed: I think what drives the channel, I mean, there's a lot of discussion about channel programs and their margins. And they, and all of these, I think that has the least effect on the channel performance, and I'm sorry, here, but when sales, people would like to say increase margin, everything will follow. I don't think that works. First, we provide good margins to channels, and it's a good business. But at the end of the day, it's every deal, everybody wants to win. So if you work together, and everybody wants to win with something that we are very familiar and they know and they feel that they can deal with. And I feel that for a long time. And again, I don't want to go into the past, we've taken more and more ownership was our deals, we worked more closely with customers and the channel role. The channel, by the way, is involved in all our deals, I think we're the only vendor with 100%. channel, but the role of the channel became a little bit smaller in some of the deals. And I think one of our tasks is to actually make the channel roll bigger, which is actually making the channel to work harder, which is get the channel to bring us customers, but also support the channel in a much better way because when people work together, we are committed, we see how we win, we become motivated. And again, when you win you also, all the margins and all the programs take effect. And I think we're trying to invest more and more invest in it's a lot of education, it's a lot of working closely with, I think we get a lot of good feedback recently on both the programmatic side and also the field side. In the programmatic part, I don't think again, we can do more, but I don't think that will create the big differences. On the field side, we can do much, much more than what we're doing, we need to educate every field person, every channel person, every account manager person how to work together with the channel. And I think we will do that we can get a very, very nice yield and increasing the effects that we get from the channel. Again, I was born, I built a lot of the security channel that we see today. Not a lot, all of it didn't exist, when we started Check Point, big part of it. I don't know if it's 60%, 70% or 80% of the channel partners that exist today in the marketplace. We're born and raised with Check Point, and I think it's our job now to win them again and to make them work. We've asked them for us and for the customer by the way, it's not for us, it's for the customer to bring them the best solutions.
Kip Meintzer: All right. Our last question of the day is going to come from Sterling Auty.
Sterling Auty: So I'm kind of curious, Gil, I think there's a perception from investors that there's a surge in security spending, because the increase in ransomware attacks and the SolarWinds breach ex cetera. How would you kind of characterize what you're seeing? Do you think that there is a surge maybe like we saw back in 2013, or 2014, or is it a modest increase? How would you characterize it and how sustainable is it?
Gil Shwed: At least from what I've seen, and again, I'm not sure if I'm following all the macro trends, there is a modest increase, multi-surge versus multi huge increase and the main thing is by the way today is not the shortage of budget, or anything like that. The main thing is the confusion, customers don't know what to do. There's way too many vendors and large customers, there's way too many opinions within the account and small customers versus they are overwhelmed by a spectrum of solution. By the way, I saw some -- we had some been talking about them hearing the examples, but we have some customers with both into the total Infinity total protection, the full Check Point architecture really doing 100% or close to 100% of very security. We have a few deals like that with small companies, few 100 people in different areas, in construction, in transportation, in finance, in law firms, we have a nice collection of builds, like met with Infinity, these are amazing. And when I meet with the person, they're saying, you see, he's telling me you see me alone, I can deal with 12 vendors, I can deal with 55 vendors, which is what companies like yours are dealing with. And for me, the Check Point Infinity is really saving me in terms of their ability to deliver the highest level of security. And by the way, business wise, here is the technology in terms of an account like that on normal days, the sales force would look at him as a minor customer with potential for a $10,000, $20,000 transaction and the sales people would like to focus on a bigger one, and make this customer a few $100,000 customer because they now buy the full portfolio for three or five years. And suddenly from $20,000 customers becomes$0.5 million customer. And now everybody pays attention. So we see as part of the potential. Again, most midsize companies are not there yet. But I have good examples of customers like that. And again, I gave the some of the fields that we saw. So these are pretty good.
Kip Meintzer: All right. Thank you all for joining us today. We appreciate you guys attending. And we look forward to speaking to you all throughout the quarter. And we'll see you next earnings call. So thank you and have a great evening or day.
Gil Shwed: Thank you very much.
Kip Meintzer: Bye, guys.